Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2011 Anika Therapeutics Investor Conference Call. My name is Alisha, and I’ll be your coordinator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) I’ll now like to turn the call over to Mr. Kevin Quinlan, Anika’s Chief Financial Officer. Please precede, Mr. Quinlan.
Kevin Quinlan: Thank you, Alisha, and good morning, everyone. If you have not received a copy of the Anika’s news release, which was issued after the market closed yesterday or you would like to be added to our contact list, please contact Sharon Merrill Associates at 617-542-5300. The news release is also posted in the Investor Relations section of the Anika Therapeutics’ website at anikatherapeutics.com. Also, I want to mention that we have slides posted on the Anika website that illustrates some of the points we’ll be covering during today’s call. These slides can be found on the Investor Relations section of the website, under the Events, Webcasts & Presentations tab. We invite you to take a moment to open the file and follow the presentation along with us. Please turn to slide number two. Before we begin, please remember that the statements made in this call which are not statements of historical fact, are forward-looking statements as defined in the Securities Exchange Act of 1934. Words such as will, believe, appear, plan, expect, anticipate, forward, seek, continue, target, goals, objectives, on track, intend, pursue, outlook, as well as other expressions, which are predictions or indications of future events or trends and which do not constitute historical matters, identify forward-looking statements. These statements are based on the current beliefs and expectations of management and are subject to significant risks and uncertainties. The company’s actual results could differ materially from any anticipated future results, performance or achievements described in the forward-looking statements, as a result of a number of factors, which include those set forth in last evening’s press release and the company’s SEC filings. Please turn to slide number 3, as I turn the call over to Anika’s President and Chief Executive Officer, Dr. Charles Sherwood.
Charles Sherwood: Thanks Kevin. Good morning, everyone, and thanks for joining us today. We began the year with significant opportunities in front of us and many milestones to accomplish in 2011. I’ll give you an update on where we stand on those milestones during today’s call. The fundamentals of our business continue to be strong. We’re seeing excellent demand for our Orthobiologics franchised products especially ORTHOVISC in the United States and sales of products from FAB which we have renamed Anika Therapeutics S.r.l. increased 22% over the last years Q1. We remain confident in our prospects for 2011. However, our Q1 results are disappointing because of the equipment problem at our Woburn facility that delayed about $1.4 million in shipments from Q1 into Q2. This significantly affected our sales margin and bottom-line performance. About $1.1 million of the delayed shipments was from our pharma products and about $300,000 was from ORTHOVISC targeted for domestic sales. The equipment has since been repaired and we shipped the delayed product in April. The casualty of the breakdown was that we lost a batch of ORTHOVISC and production time on our schedule, leaving us with a small back order for that product. Taking a conservative stance, we are voluntarily reconfirming our process while full production continues and shipment of products will not occur until we complete this activity, which is scheduled for late May – early June. So taking a look at the numbers although product revenue was down 5% and total revenue was down 6%, you can see how the addition of 1.4 million additional dollars would have made for a nice quarter on the top and bottom line. I will provide a review of our product franchises with some positive development, and give you an update on our goals for the year after Kevin’s financial review. And with that I’ll turn the call back to you Kevin.
Kevin Quinlan: Thanks, Chuck. Please turn to slide 4 in the presentation. I will preface my remarks by noting that this is the first quarter that we have apples to apples comparison as we reported a full quarter of Anika S.r.l. results in Q1 last year. As Chuck commented, the equipment problem resulted in total revenue declining by 6% from the first quarter of 2010 to an $11.7 million. Anika’s product revenue for the first quarter of 2011 was 5% lower than in the same period last year. Even with the manufacturing issue, we continue to see very nice year-over-year growth from our joint health or Orthobiologics franchise. Our Dermal franchise was down year-over-year due to timing of international orders (inaudible). Surgical performed very nicely, driven mainly by products from ANIKASRO. We had expected our Ophthalmics to be down in Q1, but revenue in this franchise declined more than expected as a result of the 1.1 million shipment delay. Turning to slide number 5, revenue in our Orthobiologics franchise increased 16% from the first quarter of 2010 to $8 million. Keep in mind that this is in spite of the $300,000 shipment delay. Domestic sales of ORTHOVISC continued to be the key growth driver, while international sales of MONOVISC also contributed to this growth this quarter. In terms of geography, Orthobiologic sales in the U.S. domestic market grew 21%. International Orthobiologic sales including ANIKASRO were flat. Slide number 6 takes you thought the highlights of our income statement for the quarter. Our first quarter product gross margin was 49% compared with 56% a year earlier. Gross margin was negatively affected by the shipment delay as well as by a last batch of in-processed product directly related to the equipment problem. Operating income for the first quarter of 2011 decreased year-over-year from $1,178,000 to $557,000. Net income for the first quarter declined to $324,000 or $0.02 per diluted share from $714,000 or $0.05 per diluted share in the first quarter of 2010. Our first quarter 2011 tax rate was 37.1% and was only slightly higher than our tax rate of 36.7% in the year ago quarter and not a factor in the bottom line results. One of our key goals for 2011, is to achieve breakeven for ANIKASRO. Coupled with significant cost reductions we made in 2010, we believe the sales growth we expect in 2011 will translate into breakeven results during the second half of the year. Turning to slide number 7, research and development expense was down 18% to $1.5 million as a result of the operational streamlining we had done since the acquisition and timing of projects spending. R&D spending is expected to increase modestly in the future quarters. As shown on slide number 8, selling, general and administrative expenses for the first quarter of 2011, were $4 million, a decrease of 6% from the first quarter last year. This also reflected the gradual effects of operational streamlining during 2010. The completion of Fidia’s accounting and purchase services on our behalf and the delay in MONOVISC approval. We expect selling, general and administrative cost to increase as we prepare to launch MONOVISC in the U.S., and to a lesser degree due to defense costs related to the claim of patent infringement against Anika. Turning to our balance sheet highlights on slide number 9, Anika closed the first quarter of 2011 with $29.1 million in cash and equivalents, compared with $28.2 million on December 31, 2010. We generated over $1 million of positive cash from operations in the first quarter and working capital remains strong at $37 million. With that, I’ll turn the call back over to Chuck.
Charles Sherwood: Thank you, Kevin. Since our year-end conference call was a little less than two months ago, I will use this time to update you on the key areas of the business. So, please turn to slide number 10 and let’s get started. Our flagship product in Orthobiologics domestically and internationally is ORTHOVISC. We continue to be pleased with the progress that Mitek is making in the United States and we believe that ORTHOVISC is taking market share among physicians who prefer a multiple-injection regimen for treating osteoarthritis of the knee. Product revenue from domestic ORTHOVISC sales grew 21% in Q1 and would have been 25% had we not encountered the shipment delay. We continue to be very bullish about the domestic market potential for ORTHOVISC going forward. Looking internationally, we saw market conditions begin to improve at the end in 2010 and we’re still seeing good demand overseas. Our international ORTHOVISC sales were down 10% year-over-year mainly due to order timing in Turkey and also Germany. In Turkey, we had a new distributor, Nycomed takeover and transition led to some timing delays. Nycomed is a private pharmaceutical company based in Switzerland with revenue of over €3.2 billion and operations in over 70 countries, and we certainly expect our joint health products to continue to sell well in Turkey with Nycomed. We are continuing to expand our international market penetration by obtaining local regulatory approvals and adding distributors in new geographical areas. And for example, in the first quarter, we received approval in Singapore and Malaysia for ORTHOVISC and our distributors in those countries have already made initial sales. Turing to MONOVISC, we reported a 45% increase in sales for the first quarter. Like ORTHOVISC, we are seeking to expand the number of distributors selling our product into the European and other international markets and we added a distributor and received approval to begin selling MONOVISC in Ukraine during the first quarter. Our international growth for MONOVISC in Q1 was led by sales in Germany and Turkey as well as several smaller markets. So you can see that we have been successful in penetrating select countries in various geographies like Europe and the Middle East, and our goal now is to continue growing existing markets but also to expand distribution into new market and we are working very hard to make progress on that goal. The domestic approval of MONOVISC is next area on slide number 10 that I would like to address. During our Q4 conference call in March, we mentioned that the FDA was actively reviewing our MONOVISC PMA application; we are waiting to hear about next step. Next milestone is the determination by the FDA as to whether an Orthopedic Advisory Panel meeting will be necessary. We had requested a review of our MONOVISC PMA through such meeting. Last week, we met with the FDA regarding a request and represented our clinical data. As result, we were promised the determination on the next steps regarding our PMA application within 60 days. We continue to believe that MONOVISC should receive FDA approval this year. Meanwhile, we’re preparing for panel review and developing our marketing plans for the product. Since our last call, another single injection product, Gel-One was approved by the FDA. With this second product soon to be on the market, we are reevaluating all of our commercial options to ensure we get the optimal economic value from MONOVISC. Regardless of our selected approach, we expect to be well prepared for a commercial launch once we receive the PMA approval. Before leaving the MONOVISC topic, let me update you on the Genzyme lawsuit. Last week, Genzyme amended its law suit to add a third patent to its claim of infringements. While the first two patents have near term expiration dates, the third patent does not expire until after 2020. We continue to develop our strategy to address the newly issued patents. We intend to fight vigorously and defend the MONOVISC product and I’m sure the manufacturer and marketer of Gel-One are going in the same direction. Another key focus for Anika is to reduce Anika SRLs operating loss, and as Kevin discussed earlier, we expect our SLR operations to achieve breakeven results in the second half of 2011. This will be a function of the progress we are making on revenue growth, cost synergies and also product rationalization. On the top line, we saw a good overall growth of S.r.l. products in Q1 with an overall revenue increase of 22% compared to last year’s first quarter. The improved revenue was led by a triple digit sales increase from surgical products. These include our Hyalobarrier anti-ageing product as well as ear, nose and throat products distributed by Medtronic. I should point out that our first shipments of the newly approved Hyalobarrier are made to our Korean partner and Korea looks to be a very promising market for this product. In addition, another significant near term growth opportunity for S.r.l. is to sign a U.S distribution partner and commercially launch the advanced wound care products that have already been approved for sale in the United States, led by the product, Hyalomatrix. We have made excellent progress and expect to complete the deal a launch Hyalomatrix with a U.S partner in the second or early third quarter. On the cost front, Kevin discussed the progress we made in lowering our R&D and SG&A expenses, and we continue to closely monitor all operating expenses. On our last call, I mentioned that we had installed new IT and ERP systems at Anika SRL. Q1 was the first quarter that we closed with the new ERP system and the process went very smoothly. The new system should save us over $300,000 a year in third party service charges compared to 2010. Another strategic goal this year is to transfer all of the Anika’s product manufacturing from Woburn, Massachusetts to Bedford. Our plan was to continue to manufacture our ophthalmic and orthopedic products in Woburn into June of 2011. At that point we would move equivalent into Bedford and then the final FDA inspections would occur. We’ve recently received orders from Bausch & Lomb for additional $6 million of products beyond what they added this requested to be shipped over the balance of this year. This is an excellent short-term boost to sales and close as much of the delta between our ophthalmic revenues in 2011 compared with the years passed. In order to deliver this product, deal with the ramping ORTHOVISC demand and service new customers for a newly introduced ANIKAVISC product we need to remain in Woburn for the remainder of 2011. This will delay receiving FDA approval to manufacture our aseptic products in Bedford. But the logistical and economic justification for this decision is compelling including reimbursement of our incremental rent. Therefore we now expect that we will receive approval and begin shipping ORTHOVISC and ophthalmic products manufactured in Bedford in early 2012. Before I provide a wrap-up we go to your questions I’d like to provide an update about ANIKAVISC, out new ophthalmic product. You may remember that we’ve received FDA approval for ANIKAVISC in the fourth quarter and signed a five-year US distribution agreement with Visco technologies. We have engaged Visco’s U.S. sales network to commercialize ANIKAVISC and the response to the product has been enthusiastic. Another highlight in Q1 was the receipt of a CE mark approval for ANIKAVISC in Europe. So in summary, we began 2011 by making good progress in key goals for the year. Our Anika S.r.l. products are performing well and we expect that business to be breakeven by year’s end. Domestically, demand for ORTHOVISC continues to be very strong and our efforts to expand distribution internationally for both ORTHOVISC and MONOVISC are yielding results. On the regulatory front, we continue to be optimistic about the prospects for FDA approval of MONOVISC, and while our aseptic manufacturing will remain in Woburn through 2011 as discussed, we will be well positioned to move into our Bedford facility in early 2012. And with that, I’ll turn the call back over to you Alisha so that we can take questions. Thank you.
Operator: (Operator Instructions) Your first question comes from the line of Jim Gentrup from Discovery Investment. Please proceed.
Jim Gentrup – : Hi, good morning gentlemen. How are you?
Kevin Quinlan: Good morning. Fine, thank you. How are you?
Jim Gentrup – Discovery Investment: Good, good. The $6 million order that you just talked about from Bausch & Lomb, I’m assuming then that ophthalmic revenue will be much less impacted throughout the whole year. I mean for example you were down about $500,000 to $600,000 in the first quarter. I mean I am assuming that would have shipped that 1.1 million back in there, if you know what I mean. So with that it was down like 27%. Does that mean the rest of the year looks like down that same kind of 20 or do you expect it actually to be flat for the rest of year I mean give us a little bit more information there if you would, please?
Kevin Quinlan: Certainly. We had projected that much of the revenue for 2011 would occur in the first half of the year as they were transitioning to a new supplier and what this is doing is putting orders into – little bit into the second quarter, but mostly the second half of the year and it will significantly narrow the gap, but we will still be down a little bit from 2010, but it narrows the gap significantly.
Charles Sherwood: I would like to add one other point in there and it’s following, we have a new ophthalmic product, ANIKAVISC and we talked about viscous technologies and launching that product in the United States. That’s a nonexclusive agreement. There is more interest in that product, both in United States and now even in Europe with the CE Mark. Since we don’t have any orders in hand, we can’t anticipate where that will go and anything that we garner there will be additional upside to what we are talking about here.
Jim Gentrup – Discovery Investment: Okay. So good news all round regarding ophthalmic, especially for this year.
Kevin Quinlan: Well, it’s certainly better news in where we started at the beginning of the for sure.
Jim Gentrup – Discovery Investment: Sure, just one more question, you did $2.9 million last year in the second quarter, in the June quarter in ophthalmic. I’m still assuming there that that will probably be down a little bit based on what’s your comments about the second-half of hitting the $6 million dollar order during the second-half, is that safe to assume or?
Kevin Quinlan: It will be down a bit, yes.
Jim Gentrup – Discovery Investment: Okay and then also I have a question about the gross margins associated with it, is this since it appears this as all above you didn’t get there I guess there distributor in place for the new relationship does this mean that you guys will have a little premium pricing there or is just going to be about the same gross margin as in the past.
Kevin Quinlan: From a customer relation point of view, I’d rather not comment on that.
Jim Gentrup – Discovery Investment: Okay, I understand. I think you just answered it. And then how much additional information can you give us about the Genzyme suit is it a situation I mean I guess what I’m looking for is what is the basis obviously there it’s going impingement, but can you give us anymore tolerance to what the basis for that suit is?
Kevin Quinlan: What I can say is the following. I think that to relatively newly issued patent we’re examining it thoroughly. And we’re examining it on the strength of the patent, on the validity of the patent and with the aspect of whether or not MONOVISC infringes the patent. We’re into the process, I wouldn’t say we just start, but we’re certainly not well advanced. Beyond that since this is a public forum, I would prefer not to comment further and provide any information to our opponents in this patent suit.
Jim Gentrup – Discovery Investment: Sure. And then if I may one more and I’ll get back in queue. The gross margin overall, I’ assuming that we’re going see a rebound after the equipment has being fixed in the second quarter back to more normal margins, is that safe assumption?
Kevin Quinlan: Yes, I think that is.
Jim Gentrup – Discovery Investment: All right. Thank you gentlemen.
Kevin Quinlan: You’re welcome.
Operator: Your next question comes from the line of Neal Gore. Please proceed.
Neal Gore: In your call, you said something regarding you’re going to be reimbursed the rent in Woburn for the extra stay. Could you please explain on that, would you get all the rent that you’re paying back?
Kevin Quinlan: Yes, we’re going to get reimbursed for the rent for the second half of the year, the six months extension that Chuck described.
Neal Gore: I see. And will you also be receiving anything additional for extra personnel to have two facilities operating.
Kevin Quinlan: There won’t be any extra personnel.
Neal Gore: I see, okay. And let’s see there was one other thing which in my mind, it slipped – oh, in Europe sales in Europe were flat year-over-year despite S.r.l’s additional sales, is that correct.
Kevin Quinlan: That was on the orthobiologics product family. That’s correct.
Neal Gore: Okay. And do we expect that that’s going to be growing now that S.r.l. is getting better organized and shipping better?
Kevin Quinlan: We had several products that showed some good growth in Europe in the first quarter, and we have continuing expectations that they will do well. Chuck mentioned one of them, the Hyalobarrier product. MONOVISC is doing well, so yes some will continue to show some good growth.
Neal Gore: Okay. Thank you very much.
Kevin Quinlan: Welcome.
Charles Sherwood: You’re welcome.
Operator: Your next question comes from the line of James Liberman from Wells Fargo Advisors. Please proceed.
James Liberman – : As always, I’m impressed by how you’re managing all these transitions that are going on. And I wonder if you could comment on ANIKAVISC. Is it a significantly differentiated product from what you currently sell to Bausch & Lomb or can you not really comment on that?
Kevin Quinlan: It’s not significantly differentiated from what we sell to Bausch & Lomb.
James Liberman – Wells Fargo Advisors: But it has certain advantages in that and you can, and now you’re free to mark a design on your own, so that actually opens up a boarder market opportunity to you?
Kevin Quinlan: That’s correct. We own the product registrations for ANIKAVISC. Bausch & Lomb historic – goes back to some history in the early 90s owns the registrations for Amvisc and Amvisc Plus.
James Liberman – Wells Fargo Advisors: Very good. Thank you again for your presentation and best of luck on how you proceed for the rest of year.
Kevin Quinlan: Thank you, Jim.
Charles Sherwood: Thank you.
Operator: Your next question is a follow-up question from the line of Neal Gore. Please proceed.
Neal Gore: Regarding the new products that you acquired from S.r.l. that has been approved in Europe and you are hoping to get quick approval in the U.S, I think it’s called 510(k) is there any news on those?
Kevin Quinlan: There are really no definitive statements I can make, we are continuing to still, for a lack of better words, slug it out with the FDA on the approval of those 510(k)s.
Neal Gore: Okay, thank you. And thank you again.
Kevin Quinlan: You’re welcome.
Operator: (Operator Instructions). Your next question is a follow-up question from the line of Jim Gentrup from Discovery Investment. Please proceed.
Jim Gentrup – Discovery Investment: Hey gentlemen, I just had an additional question on the specific growth of the Orthobiologics area I mean pro forma, it would have been a little over 20% according to my numbers year-over-year. And, I just wondered with all your distribution partnerships in place, could we reasonably expect that to actually that growth rate to accelerate a little bit the rest of the year or how do you – I mean was it a big order came in Q1, can you give us a little bit more color on, what do we expect the rest of the fiscal year?
Kevin Quinlan: I think we’ve – this is an area, the Orthobiologics area that we have seen steady but regular growth and we’ve been in that 20% range. And we still feel good about the growth prospects in that area and don’t see any single order per say impacting the results.
Jim Gentrup – Discovery Investment: And is there any 10% customers in that area – distributors?
Kevin Quinlan: Our biggest customer in that area is DePuy Mitek in the U.S.
Jim Gentrup – Discovery Investment: Okay. And I assuming that is this growth can become evenly, is it going to be more – I mean know that domestic was 21% this quarter, but I am assuming that you expect it to internationally grow in the 20s as well.
Kevin Quinlan: Some of the products are doing very well and some are doing okay. So it’s hard to generalize it into an overall statement, but we are excepting international growth as well as domestic growth.
Charles Sherwood: Yeah, let me see if I can help you out here Jim. Orthobiologics franchise is a pretty large franchise. The two I think current dominant products in there are now ORTHOVISC and MONOVISC. But S.r.l. also has some products for cartilage regeneration. A couple of those – one of which is doing okay, another one looks to be a very promising product and we are trying to push it very hard and it is not approved in the States, but it is approved in Europe and so we will have to wait and see about the adoption of that particular product. It’s pretty popular in Italy. We are trying to expand that out. So it’s a little difficult to precisely answer your question because some of these products are on a growth curve that we don’t fully understand or able to predict right now. So they are very small. If they grow well, then we are going to have a decent year in that franchise.
Jim Gentrup – Discovery Investment: Okay. And then just switching back to the FDA decision that you said a 60-day window they have promised to get back to you and I mean, I guess the question is that once you get this decision back to this whatever they, are you assuming that this could be a final decision or are you looking for another okay, you need to give us more results in this area, that type of thing or more – maybe that more data, but is it you’re looking like, you’re hitting the (inaudible) year, what should we expect there?
Charles Sherwood: Well first of all, let me practice my comments with – when you’re dealing with the FDA, it’s hard to determine what you expect. Having said that, it appears from the meeting that we just had, the history was, we made a submission, we had a meeting, they suggested that we analyze our data in a different way. We completed that towards the end of the year, made an additional submission. We got some feedback from them about that second submission, and it appeared that there was some confusion between the two analyses and they weren’t necessarily looking at what we submitted the second time. As a result of that, we requested to go to panel, as a response to our request to go to panel, we are invited to a meeting last week. At that meeting there appeared to be and continued to be some confusion, which I presume, then will get resolved over the next 60 days. One thing is absolutely clear and that is that the safety profile of MONOVISC is like all the rest of the Anika products, it’s impeccable. So, we’re talking about whether or not we demonstrated sufficient efficacy results, and we believe we did. And so our assumption is that the FDA will take a look at what we told them, go back and take a look at our second submission. The outcome of that is difficult to predict; however, whether it’s a full reexamination, a panel meeting, it’s hard to tell.
Jim Gentrup – Discovery Investment: No, but that’s a very good explanation and summary. I appreciate that. How much did you know about this Gel-One. I mean this is the first that I have heard of it and I haven’t heard you speak about it before. What do you know about the product?
Kevin Quinlan: We know a little bit about the clinical. Now that it’s published, we have some idea about it. It seems to be a product that’s demonstrated satisfactory clinical results resulting in its approval. We knew it was in the queue. We knew it was under review, but like anything else that goes into the FDA black box, you never know when it’s coming out or if it ever will come out. Given all the other things we are doing right now, we are starting to try to understand in detail what that product is all about because, of course we need to position ourselves against it, but at this juncture, it is a single injection product. It performed reasonably well. We don’t – we don’t have a lot of basic information about the chemistry and some of real details that we like to get on competitive products.
Jim Gentrup – Discovery Investment: Yeah, but I’m assuming that your model has efficacy profile that’s similar to or better than -I mean is that a safe assumption...
Kevin Quinlan: Everybody does something a little bit different. And when they conduct clinical studies, so we believe certainly that we’ve demonstrated efficacy the way that they analyzed and did their product clinical, they demonstrated efficacy as well. So, we have to look more deeply into the data to really get you or offer to you the kind of information that you really want me to say on this call.
Jim Gentrup – Discovery Investment: Right, Fair enough. Thank you, guys.
Operator: (Operator Instructions). Your next question comes from the line of Lawrence Anderson from Raymond James. Please proceed.
Lawrence Anderson – : Good morning.
Kevin Quinlan: Hi, good morning.
Lawrence Anderson – Raymond James: Could you give us just an update on status regarding the progress with your joint partnership with DePuy regarding the expanded use of HA for OA of the shoulder?
Kevin Quinlan: Sure. As just I can.
Lawrence Anderson – Raymond James: Okay.
Kevin Quinlan: The trial is done. We’re talking with DePuy now and we’re moving forward with our regulatory strategy together. And we are getting ready to make a submission. And that is, it’s a joint submission between relying heavily on Mitek and some other consultants, as well as our own people, since we are the license holder of record. That is about all I can really say at this juncture.
Lawrence Anderson – Raymond James: Okay. Good. Thank you.
Operator: At this time, we have no further questions. This does conclude the question-and-answer portion of the call. I’ll now turn the call back over to Dr. Sherwood for closing remarks.
Charles Sherwood: Well, first I would like to thank everyone for joining us today. We certainly appreciate the questions. There were a lot of them and I think that makes for a much productive call. And we look forward to speaking with all of you again at the end of the second quarter when we report our results. Thanks again.
Operator: Ladies and gentlemen that conclude today’s conference. Thank you for your participation. You may now disconnect. Have a great day.